Operator: Good day, and welcome to the Veritex Holdings First Quarter 2019 Earnings Conference Call and Webcast. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Ms. Susan Caudle, Investor Relations Officer and Secretary to the Board of Veritex Holdings.
Susan Caudle: Thank you. Before we get started, I'd like to remind you that this presentation may include forward-looking statements, and those statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to publicly revise any forward-looking statement. At this time, if you're logged into our webcast, please refer to our slide presentation, including our safe harbor statement beginning on Slide two. For those of you joining us by phone, please note that the safe harbor statement and presentation are available on our website, veritexbank.com. All comments made during today's call are subject to that safe harbor statement. In addition, some of the financial metrics discussed will be on a non-GAAP basis, which our management believes better reflects the underlying core operating performance of the business. Please see the reconciliation of all discussed non-GAAP measures in our filed 8-K earnings release. Joining me today are Malcolm Holland, our Chairman and CEO; Terry Earley, our Chief Financial Officer; and Clay Riebe, our Chief Credit Officer. Malcolm?
Charles Holland: Good morning, everybody, and thank you, Susan. It goes without saying that this has been the biggest and most transformational quarter for Veritex in our short history. Going from a startup company to the tenth largest domicile bank in Texas in 8.5 years is a testament to our teammates and family we call Vertitex. Q1 represents the first full quarter of merge -- of the merged Veritex and Green Bank’s. We have must to report, so let's get started. On a GAAP basis we produced first quarter earnings of $7.4 million, or $0.13 per share. This included nonrecurring merger and acquisition expenses of $31.2 million and nonrecurring losses from repositioning our investment portfolio of $772,000. On an operating basis, we’ve recorded earnings of $32.7 million or $0.59 per diluted share. Terry will provide some additional color on these numbers momentarily. From a balance sheet perspective we finished the quarter just under $8 billion in total assets. We did see loan growth excluding mortgage warehouse slow a bit growing $74 million or 5.3% annually. Loan growth was offset by $25 million in government guaranteed loan sales and the payoff of three acquired troubled loans exceeding $26 million. We remain confident that we will always grow at or above our Houston and DFW markets, but we have seen a small pullback in these markets. So we’re bringing our loan growth forecast for 2019 to high single-digit. Our pipeline continues to be active and full and we have over $400 million in yet to be funded construction loans over the next 15 months. In March, Texas marked its 107th consecutive month of job gains. The unemployment rate in Dallas and Houston remain very low at 3.3% and 3.7% respectively. Additionally, both DFW and Houston reported that each have added over 1 million new residents over the last eight years confirming the economic viability of our state. Specific to mortgage warehouse division we have hired a very strong leader who starts in mid-May. We currently have very small loan balances in mortgage warehouse of $114 million which represent only 2% of our loans outstanding. However, with our new leadership we expect to see a nice increase in outstanding balances over the coming quarters. Our credit remains very strongly, but we did have few things that occur during the quarter that required higher than anticipated provision expense. Our total provision for the quarter was $5 million, that was made up of three primary components. The general reserve for loan growth of $2.3 million, specific reserves for five smaller credit; four acquired and one legacy Veritex of $1.2 million and an additional reserve of $1.6 million to fully exit our largest problem, oil and gas credit acquired in the Sovereign acquisition. Our NPAs to total assets remain very strong at 0.29 and our allowance plus remaining purchase discount on acquired loans to total loans is a healthy 1.82%. I’ll now turn the call over to Terry.
Terry Earley: Good morning everybody. Malcolm certainly did a good job in covering the major highlights for the quarter. And in spite of the noise there are certainly some exciting news and encouraging results. I’ll now drill down into the numbers and try to give you some additional color on our Q1 results including the earrings power of the new Veritex. I should note that Veritex filed its preliminary proformas on Friday, April 19th reflecting the impact of the Green Bank merger. We thought this information would be helpful in gaining a better understanding of the growth and financial results for Q1, 2019. Finally, while GAAP reporting is certainly important and required, I’m going to focus a lot of my comments on operating results, which excludes merger expenses and loss on sale of securities. Turning to slide five in the deck; fully diluted operating earnings per share increased just over 25% in Q1 to $0.59 per share. The operating net income of $32.7 million translated into a return on average tangible common equity of 18.81%, an improvement of over 40%. On slide six, these graphs demonstrate the earnings power of the new Veritex with an operating return on average assets of 1.69% and a pretax, pre-provision, return on average assets of 2.4%. This level of pretax, pre-provision operating earnings bodes well as we move later and later in the credit cycle. Veritex was already very efficient on an operating basis before the Green merger, but this key metric has only gotten better with the scale and cost savings opportunities from the transaction. We’ve finished Q1 with an operating efficiency ratio of 43.5%, down over 7% from Q4. This level of efficiency was in line with management expectations. On slide seven, tangible book value per share ended Q1 at $13.76. The bottom half of this slide shows the roll forward of tangible book value for Q1. Clearly, there were several significant items impacting TBV during the quarter. The total TBV dilution from the merger and the Q1 merger charges totaled $1.61 or 10.9% of tangible book value prior to the merger. This graph then shows the positive impact of Q1 from operating earnings, market value changes in investment portfolio and the CDI amortization included an operating earnings. These deposits were offset by 12% reduction in TBV from the Q1 dividend and [Indiscernible] per share dilution from the share buyback of 317,000 shares which occurred late in the quarter. On slide eight, the net interest margin increased to 4.17% in Q1 including the impact of the merger and the purchase accounting accretion. This NIM includes 10 basis points of the impact on accelerated accretion and the purchase non-impaired portfolio and cash recoveries in excess of estimates in the PCI portfolio. Most encouraging from my point of view was the five basis points of NIM expansion from 373 two 378 in the adjusted net interest margin which excludes the impact of all purchase accounting. As we look out for the remainder of 2019 the company continues to expect a net interest margin from the 4.05% to 4.2% range. This range assumes no fit on rate increases or decreases, where we will fall in the range is largely a function of the level of prepayments in the purchase non-impaired portfolio. On slide nine, Veritex had a strong quarter on the fee income side with operating net interest income over $9 million for the quarter including very strong results in deposit and treasury management fees and from government guaranteed loan sales. On slide 10, the company is very focused on achieving the cost savings that were expected from the merger. In general these savings are coming in earlier than planned. We do believe the core conversion and branch consolidation at the end of Q2 will yield additional savings in several expense categories, but it is our intent to reinvest some of these savings and additional quality personnel to drive future growth. On slide 11, it’s important to note that post merger approximately 57% of the loan portfolio now carries a credit mark in the part that doesn't -- has been underwritten to Veritex credit standards which continues to show exceptional loans performance. Also the loan composition is shown the pie chart at the bottom right with commercial real estate at 44% of total loans. On slide 12, the loan to deposit ratio stood at 91.8% at the end of the quarter. Our preference is to operate this ratio between 95% and 100%, so we have room for loan growth given the current funding profile. Also the average cost and total deposits decline during Q1, reflecting the Green deposit base and the impact of purchase accounting. If you eliminate the purchase accounting impact the cost of interest-bearing deposits would have increased 10 basis points from the Q4 level to 1.85%. On slide 13, this shows our asset quality metrics including NPAs at 29 basis points of total assets. Also note that we have $165 million in purchasing impaired loans, but these loans have a credit mark in ALLL which covers approximately 33% of the loan balance, thereby significantly reducing the downside risk from this part of the portfolio. Finally, on slide 14, this reflects our capital ratios that the holding company which remain very strong post merger. Importantly, we return $14 million to common shareholders during the quarter including the share buyback of $7.7 million and the $6.8 million in common dividends. Needless to say, the share buyback is more than insurance policy. We will continue to use the buyback given our excess capital if the share price reflects weakness and we believe it represents good value. With that, I’d like to turn the call back over to Malcolm.
Charles Holland: Thank you, Terry. The integration of our two banks is going exceptionally well. We spent the quarter upgrade in our technology platform which should be complete by June 1st, so we’ll be ready for the core conversion in late June. Our teams continue to be focused on bringing these two companies together with the least amount of disruption as possible. All key personnel remain in place and are working towards a common goal of being the bank of choice in our market. We’ve also had our very busy quarter from the new hire standpoint. First and foremost Jeff Greenway has decided to retire, May 31st. Jeff has been a very loyal supported member of Green Bank for 11 years and a major part of success in growth. I want to thank Jeff for his continued support of this merger and of me personally. With Jeff retirement we have hired a new Houston City President, Jon Heiny [ph] who starts May 1. John has been native of Houston as an 18 year veteran from a large super regional Institution. His experience in commercial lending and leading private banking teams will only add to our outstanding Houston franchise. In addition to the hiring of the new mortgage warehouse leader, I mentioned earlier, we've also hired a new president for our mortgage company with 25 years of experience and new Chief Technology Officer who will support Michael Bryan, our CIO and a new key hire in our middle-market lending group in DFW. We feel investing in the future leadership and personnel will continue our efforts toward the efficiency and further profitability. As you can tell, we’ve been busy on all fronts. Our focus is on creating a top-tier institution which means we will continue to add top-tier talent. Operator, at this time we would like to open the line for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Brady Gailey with KBW.
Brady Gailey: Hey. Good morning, guys.
Charles Holland: Hey, Brady.
Brady Gailey: So the NIM guidance of the 405 to 420, I mean, one quarter in, you’re clearly at the top end of that range. I know with your accretion it can bounce around a little bit. But do you think it’s likely that you’ll come towards the top end of that range this year?
Terry Earley: Brady, it’s Terry. If I had a crystal ball and could predict the level of prepayments in the Green Bank purchase non-impaired portfolio, I can give you a definitive answer. But I don't. Look, I think my experience has said usually prepays peak early and start to tail off. And so if you look at the NIM slide on page eight and you at the 10 basis points between GAAP NIM and what we’ve kind of call on adjusted NIM that excludes the accelerated prepayment stuff, I think that will narrow, okay? It always has in my experience. How much it will narrow? Hard to say. I wouldn’t be surprised to see it narrow like five bps over the course of the year something like that. That being said, I do think that that we have on – so that would tell me it’s going to move more towards kind of the middle part of the range. The only offsetting thing I believe to that is I think our loan-to-deposit ratio and our earning asset mix were a little unfavorable to us this quarter, so I think that could counterbalance to a little bit. And that’s the best way I’m going to think about it.  It’s probably going to migrate down a little, but there will be some things I think that will support it as I’ve said.
Brady Gailey: All right. Then on the loan growth side this quarter, I know total loans grew a little over $3.1 billion. How much of that was organic growth? Like if you take out the Green loans that were acquired, how much did loans grow just organically?
Terry Earley: Yes. So just on the growth side, it was pretty much a flat quarter, just total loans. We strip out the mortgage warehouse component. And so just commercial loans non-mortgage warehouse grew $74 million or about 5.3% annually, mortgage warehouse was down period end to period end in about 97. So we had a little bit overall decrease in the portfolio.
Brady Gailey: All right. And then just lastly, it’s great to see the little bit of buyback activity in the quarter. How should we think about the buyback for the rest of the year?
Terry Earley: I mean, we’re going to use the buyback when pricing opportunity show. I think they showed their selves a little bit late in the quarter and we reacted, and we’ll continue to do that when appropriate. At certain pricing level it doesn't make sense. And at certain pricing levels it does. So, if we have to be active we will.
Brady Gailey: Great. Thanks for the color guys.
Terry Earley: Thanks, Brady.
Operator: Thank you. Our next question comes from Matt Olney with Stephens.
Matt Olney: Thanks. Good morning, guys.
Charles Holland: Good morning.
Terry Earley: Hey, Matt.
Matt Olney: I want to start on the operating expenses and I believe that came in below consensus forecast in the first quarter. Just trying to get a better idea of how much of this was a pull forward of some future cost savings that was recognized earlier? And I think the full year forecast from me, it looks like it’s about $147 million. And I think you previously talk around that number. But with your recent commentary about reinvesting some of this in some new people, I’m curious kind of what your view that full year number is currently?
Terry Earley: Matt, it’s Terry. As you note, we said that the efficiency ratio was in line with management expectations for the quarter. So, it did come earlier. It didn't surprise us. There's more to come mainly in the form of conversion, branch consolidations and another things and it’s our intent to reinvest some of that. So the 147 consensus – it’s in the ballpark, but we’re 43.5% of efficiency ratio and its going to be in that range. If we did our – if growth picks up and et cetera then I think there could be a little downside from here. I’m not trying to convey that we’re going to dollar for dollar reinvest in every -- all our future savings in new people. But I’m trying to – I did want to signal that some of what we’ve got we’re going to put back in there. So I would expect it to trend slightly lower, but not – we’re not looking for this thing to start with the three or anything like that; I mean, we’re like where we from an efficiency standpoint. We’ve got to continue to invest to drive growth and we’ve got markets that will take advantage of that given the demographics. And growth is important to us especially when you think about the accretion runoff and how that’s going to play out, so, good growth, always good growth, make sense.
Matt Olney: Okay. That’s helpful, Terry. Thank you for that. And then thinking more about capital and capital planning for 2019, if you’re going to be growing loans in that high single digit range you now pay a nice cash dividend and assuming you continue to remain active on your share repurchase plan, it still seems like the capital levels could build throughout 2019. Am I thinking about that the right way? Is that within your expectation that capital could still build this year even of all those things come to fruition?
Terry Earley: Yes. I mean our capital ratios are going to increase. But yes, you’re thinking about right. I have any other way to say it, we’re producing a fair amount of new capital and we can big enough share back or pay big enough dividend. So basically it’s going to be a high class problem.
Matt Olney: Okay, great. Thank you, guys.
Terry Earley: Thanks, Matt.
Operator: Thank you. Our next question comes from Brad Milsaps with Sandler O'Neill.
Brad Milsaps: Hey, good morning.
Terry Earley: Hey, Brad.
Brad Milsaps: Hey, I join a couple of minutes late, but just curious, how big you guys might consider taking the mortgage warehouse side of the business. It sounds you hired a new person, also someone new in the regular mortgage division. But just want to get a sense how big you might consider taking that?
Charles Holland: Yes. That’s a good question. The first and we go coming in is a seasoned, seasoned veteran. She is been in the business. She has some deep, deep relationship. Listen, mortgage warehouse is never going to be a major component of our loan mix. But the 2% it certainly got a bunch of room that it could grow. And so do I see it in the 5% range, 5%, 6% range? Sure. This person has the ability to do that just through the years of experience. So, again, it won’t ever be a major component, but it is a nice add and so…
Terry Earley: So, let me tag on that of Malcolm. Look, this is a profitable part of our business right now based on where pricing is as we look at our operational cost to fulfill. And I like the risk adjusted returns and return on allocated capital. And so, I just – we’ve done a lot of analysis on this. The growth is going to – she got to come in and take a hard look at our business and as Malcolm talks about the upside, I mean that’s going to play out over several years. This is not something we think is. Do I think it will contribute in 2019? I do. Do I think it’s going to be a major part of our growth? I don't. I think the upside into the business largely depends on the macroeconomic things to what’s going in the mortgage business and just letting her get in and do what she needs to do which I think will take couple of years to play out.
Charles Holland: Yes. And on your mortgage company question we hired guys who been in this market for 25 plus years. He’s very well known. Again this is not going to be a major part of our business. It’s a great add-on and another arrow in the quiver for our folks to sell. Green Bank did not have any mortgage business, because they got out of that business and so we’re going to grow little bit in Houston. We’ll hire some folks down there. But again it won’t be a major piece. It will be a nice add-on.
Brad Milsaps: That’s great. Thanks. And Malcolm, I know you’ve got – you and Terry both got plenty on your plate with digesting Green. But just curious what the appetite would be for future M&A, do you need to get to the end of the year? Or just kind of what are your thoughts at this point given where you are?
Charles Holland: Candidly, we are just solely focused on this integration conversion and just making this company efficiently – efficient as we can. You never take M&A off the table, but I can tell you right now -- we haven’t spoken the word this last quarter this last quarter. We believe that if we do what we say we're going to do and we're successful the way that we think we can be successful at the appropriate time we're going to get to make the decision whether that is going to be an opportunity or with the four or five other options that we have are going to be the path that you take. So, none of that happens if we don't do this job well. And so sitting in my seat that's what they hear from me every day, my folks, that let's do this and let get this right and then we're going to get to decide down the road. But this bank is a conglomeration of seven other institutions and a bunch of organic growth and so I don't think you can ever take the M&A piece just completely off the table.
Brad Milsaps: Great. Thank you guys.
Charles Holland: Thanks, Brad.
Operator: Thank you. Our next question comes from Brett Rabatin with Piper Jaffray.
Brett Rabatin: Hey. Good morning, guys. 
Charles Holland: Good morning, Brett.
Brett Rabatin: Wanted to talk about the funding and you had a slide on talking about trying to focus on funding and treasury. Could you first just – you obviously had noise related to the deal on the funding side in terms of the cost of funds. Can you maybe just give us an idea of what you think your cost of funds will be on kind of a core run rate from here? And then just the top of mind deposit growth strategies besides treasury management and HOA, are there other things that you're trying to do on the funding side of the equation?
Terry Earley: Sure. Hey, Brett, Terry. First part of your question around funding cost, I mean, reason I made the comments around it looks like we're down but we're really not down as a function of purchase accounting and the ten basis points. We’d be at 185 if you will and average cost of interest bearing deposits, and 10 basis point increased given the Fed increase in December didn't -- doesn't feel bad to me. I think that couple with what was going on the loan side that’s why we got NIM expansion of five bps absent all purchased accounting from 373 to 378. I think where deposit costs go from here. I mean I know if there's a tail as you reprice your CDs that are coming due. And so, there'll be a little bit of upward pressure on CD pricing. I just don't think it’s going to be overly significant. In fact we’ve been able to lower some of our CD sheet rates at Veritex so far this year. So -- and we've been able to attract and grow just some deposit growth. That being said, I mean I think, the mix of deposits is important and there is some seasonality in the deposits that that we tend to start out with an unfavorable mixed shift at the beginning of the year and it strengthens as the year goes along. So I think that works in our favor a little bit. Also think is as we think about deposit initiatives other than treasury, obviously Green had a lot of customized treasury management code and the plan is to try to continue to leverage that. And you've heard some talk about that HOA business which is we’re trying to build momentum in and I think we are. I think the other things is just we are a commercially funded company by and large. And so this to me comes back to the focus on C&I and an operating business and asking for the deposits. And so I think a couple of things there. One, is some changes in the incentive system that I think for our bankers that really really promotes the importance of every quarter of doing a good job and on the deposit side and if you don't do a good job there then really from the incentive perspective it certainly negatively impacts them in terms of what they've done on the loan side. So, that's important. We put in pricing models that help them really see the value of deposits and DDA versus money market versus CD. So that’s an important piece too. And then, it’s just a focus for us every day on both the retail and commercial every side, every part of the company has deposit goals and they get measured and tracked and I think it's mindset, its incentives and it's really focusing on leveraging the treasury management side of the C&I world I think they're going to be the keys for us.
Brett Rabatin: Okay. That's great color there. And then, I guess, the other thing I want to make sure I understood was thinking about post the conversion and maybe spending some of the money on hires and you've maybe got some technology to spend as well compliance CRA teams. How much can you maybe just break out for us how much of the spending is going to be on technology type stuff versus adding new talent at Bank?
Charles Holland: Yes. The majority of our technology spend is going to be in the first half of the year, just read upgrading our platforms are ready to the core conversion, I mean, we’re at ongoing. There is a pretty good spend in the first quarter on the technology side. And in terms of the new hire piece, we just -- we're trying to raise the bar and a whole bunch of different areas and so you've seen just this quarter some substantial new hires. I think you're going to see some in the C&I space. We feel really good about our commercial real estate lenders and their ability to produce the amount of loans that that we want that from the C&I side. We can always grab one or two or three people both here and in Houston. So from a management standpoint we feel really strong. We just need to get some good strong relationship managers. We're talking to them. So we just want to be ready to acquire them when they're ready. This is the season to do it, give the bonuses and what-have-you. But if they're not there they're not going to be additive to our company we're not going to hire just to hire. So in terms of our Compliance, CRA, BSA folks, we're in really good shape. Angela has done a really good job of putting together a team Green had a great team. All of the teams have stayed pretty much intact on both sides. So we don't see a big spend going forward on that side.
Brett Rabatin: Okay. That's great. Appreciate the color.
Operator: Thank you. Our next question comes from Daniel Mannix with Raymond James.
Daniel Mannix: Hey, guys. Thanks for taking the questions.
Charles Holland: Hi, Daniel.
Daniel Mannix: Hi. So, first one from me I just wanted to start by going back to the NIM guide. Just what you're assuming in terms of earning asset mix? It looks to me like you guys got a lot of upside here as far as increasing your loan to earning asset mix back to what it was pre-merger, which sounds to be pretty accretive. What exactly are you assuming in that NIM guide? And can you talk about just your target maybe size of the Securities portfolio as a percentage of earning assets and what the duration of that portfolio is?
Terry Earley: Yes. Daniel, its Terry. I mean, I'm assuming that the investment portfolio is going to be low double digits in terms of as the percentage of assets. And in terms of -- and so I think there's -- it's not going to grow a lot from here as I see the balance sheet growing you're going to see the investment portfolio. It may will be reinvesting cash flows, it may step up incredibly slowly, but the big thing is to keep the cash flows reinvested and I would much rather use our capital and our funding on the loan side than the wholesale side if you will. But we do need leverage on this capital base. So, we're going to grow it, we're going to grow it pretty small and we're going to reinvest cash flows. The duration is pretty short at about three point four years I believe. And as you saw in the rate volume table and it's got a great yield that's at 3.17 [ph] I believe, yes, 3.17. So the beauty of purchase accounting, you get to -- you got to acquire the Green portfolio – the Green investment portfolio on January 1 at market rates and so it's really working in our favor. And the cash flow on it is strong as a lot of cash flow coming off of it. So if loan demand is stronger than expected then we could we can let it run down a little bit. But we do have -- the earning asset mix definitely was a bit of a drag this quarter.
Daniel Mannix: Great, really helpful. Thanks, Terry. Maybe one for, Clay, here. So on the credit side, the 1.5 million recorded provision on the PCI loan that you pointed out, I'm assuming that's the one that originally was expected to be resolve in 4Q, that was expected to kind of leak over into 1Q and then there was another credit that you guys had pointed out previously that was in bankruptcy that was expected to be resolved this quarter and 2Q. Maybe just give us an update on that?
Clay Riebe: Sure. Yes. You're right. The asset that we talked about in Q3 and 2018 we anticipated that it could potentially resolve in Q4. It rolled over to Q1 and that’s $1.5 million in additional provision that's associated with that asset. It paid off March 31, so we're completely out of that asset. The other asset that you're talking about is an oil and gas credit from the Sovereign portfolio that is in bankruptcy. And the current book on that is that it's potential going to resolve in Q2. There is some potential that it may rollover just based upon the process that they're running in BK today.
Charles Holland: And just the valuation on that; our most current valuation shows that our loan is lower than the ultimate valuation and we're the only creditor in that bankruptcy.
Clay Riebe: That's right.
Charles Holland: Only secured creditor, I guess.
Clay Riebe: Right.
Daniel Mannix: Got it. Really helpful. That's it for me. Thanks guys.
Charles Holland: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Gary Tenner with D.A. Davidson.
Gary Tenner: Thanks. Good morning.
Charles Holland: Good morning, Gary.
Gary Tenner: Hey. Just wanted to ask a question first on fee income came in higher than I anticipated at least this quarter. I'm just wondering, certainly piece of that was the gain on sale on the loan front. What are your thoughts on kind of level of gain on sale the rest of the year? And were there any other fees that with the bank's coming together will sort of be adjusted in terms of your fee rates or anything like that that would impact forward quarters?
Terry Earley: Gary, its Terry. It was a strong quarter on the fee income line. I think the one you mentioned a gain on sale from government guaranteed, strong quarter premium improved a lot over what they were in Q4. It's a lumpy business. But we had a lot of product that we could sell. Premiums were better than we had seen and we decided we ought to take advantage of that. It'll continue to be lumpy. It's $2.4 million repeatable? I don't know. But I feel good about the business for the year in terms of I think their pipelines look good, and so we're doing some good things in that business. So I feel good about it for the year. I'm not -- I would never say you ought to look at these quarter’s results and say that that's a sustainable level over four quarters. There will be some quarters I think they're lower and we'll see if there's some that are higher, but that just the reality. I think the treasury management and the other fees, I think are pretty sustainable. I think one new thing to Veritex was our interest rate swap business that Green brought that we trained the Veritex lenders on about halfway through the quarter towards the end of February. We had a decent interest rate swap fee quarter, but I expect that to accelerate as we go through the year. So some things that are definitely some different things going on there, but overall a great quarter and that's kind of lit as a little bit of context here.
Gary Tenner: Okay. Thanks. And the interest rate swap income is that in the loan fee one item or is that elsewhere?
Terry Earley: It's actually not. It's down in other.
Gary Tenner: How it is in other?
Terry Earley: Because it's…
Gary Tenner: Yes. Okay, great. And then Malcolm you mentioned a slowdown I think specifically in Houston. I wonder if you just elaborate a bit on what seeing there?
Charles Holland: Yes. I think what I was trying to communicate is we've just seen a little bit of a pullback in both markets. I described it. We've been running at the speed limit 60. We've been running over the speed limit for the last three or four years. We just pull back a little bit to probably the speed limit. It's still very good. There's still a crazy amount of people moving to these two markets. There are real jobs. I mean a 107 straight months of job gains is just remarkable. What’s going on in certain segments at both Houston and Dallas, the growth areas, its remarkable. So we just – we do see it pulling back a little bit, but our pull back in over the speed limit to the speed limit. So I still think we’re going to had some very nice growth and I do believe that we’re always outperform the market, but we’re going to only take that the market’s going to give us.
Gary Tenner: Okay. Thanks very much.
Charles Holland: Thank you, Gary.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today’s question and answer session as well as today’s conference call. This concludes the program. You may all disconnect and have a wonderful day.